Operator: Good day, and thank you for standing by. Welcome to the ZoomInfo fourth quarter 2025 Financial Results Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question and answer session. To ask a question during the session, you will need to press star 11 on your telephone. You will then hear an automated message advising your hand is raised. To withdraw your question, please press star 11 again. Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Jerry Sisitsky, VP of Investor Relations. Please go ahead.
Jerry Sisitsky: Thanks, Daniel. Welcome to ZoomInfo's financial results conference call for the fourth quarter and full year 2025. With me on the call today are Henry Schuck, Founder and CEO of ZoomInfo, and Graham O'Brien, our Chief Financial Officer. During this call, any forward-looking statements are made pursuant to the safe harbor provisions of U.S. Securities laws. Expressions of future goals, including business outlook, expectations for future financial performance, and similar items, including, without limitation, expressions using the terminology may, will, expect, anticipate, and believe, and expressions which reflect something other than historical facts are intended to identify forward-looking statements. Forward-looking statements involve a number of risks and uncertainties, including those discussed in the Risk section of our SEC filings. Actual results may differ materially from any forward-looking statements. The company undertakes no obligation to revise or update any forward-looking statements in order to reflect events that may arise after this conference call, except as required by law. For more information, please refer to the forward-looking statements in the slides posted to our Investor Relations website at ir.zoominfo.com. All metrics on this call are non-GAAP, unless otherwise noted. A reconciliation can be found in the financial results press release or in the slides posted to our IR website. And with that, I'll turn the call over to Henry.
Henry Schuck: Thank you, Jerry, and welcome, everyone. We ended the year strong with record quarterly revenue and results that beat the top end of our guidance. In the fourth quarter, we delivered revenue of $319 million, up 3% year over year, and adjusted operating income of $123 million, representing a margin of 38%, once again returning to rule of 40 performance. In 2025, we delivered $1.25 billion in revenue with an AOI margin of 36%, and we grew free cash flow per share by more than 10% for the year. We also returned more than $400 million in capital to shareholders through share repurchases, all while investing in the business to drive innovation and build the GTM intelligence platform of the future. Our upmarket strategy is working. Upmarket again grew 6% in our seasonally largest upmarket quarter, triple the upmarket growth rate from a year ago. We now have 1,921 customers, with more than $100,000 in ACV, the seventh consecutive quarter of adding logos to this cohort, and $100,000 customers now represent more than 50% of total company ACV. We also have a record number of million-dollar-plus customers. And in the quarter, we delivered a double-digit increase in logos year over year, accompanied by an even larger increase to the ACV within that million-dollar customer cohort. More than half of our total ACV is now on long-term contracts, and that mix increased five points in 2025 alone. Customers are increasingly making long-term investments with ZoomInfo, as they realize the clearly differentiated value of our platform. The migration to Copilot continues as planned, and as Copilot scales, we are pleased to see continued strong uplift as we renew customers at higher rates on the Copilot platform. Over 20% of our total ACV is coming from Copilot after it more than doubled in 2025. Success in our operations business continues to be driven by demand for actionable high-quality data, a key foundation to power AI use cases. Operations again grew more than 20% year over year in the quarter. Our comprehensive data universe is the data advantage that organizations need to bring agents and workflows to life. ACV from operations is now nearly a fifth of our total ACV. 2025 was a year of fast-paced innovation as we rebuilt our product and engineering motions to be AI-first and leverage AI and LLMs to improve our data quality and build out the broader ZoomInfo platform. Our data moat has always been the foundation. Over a decade of innovation and expanding patent portfolio, and technology for aggregating and unifying B2B data that is nearly impossible to replicate. AI development tools have lowered the cost of building software, but they don't erode our advantage at the data layer. They accelerate what we can build on top of it. We are more than a horizontal software company. And AI has been an accelerant, expanding the use cases we power and the workflows where ZoomInfo shows up. Historically, our data powered specific prospecting and enrichment workflows with AI expanding that surface area into two clear directions. First, demand for entirely new categories of data. We launched nine vertical datasets this year. Franchise ownership, restaurant operations, commercial fleet intelligence, addressing specialized markets that generic B2B data never served. Second, new go-to-market use cases. Customers are using our data to power AI agents, build audiences programmatically, and run end-to-end campaigns that didn't exist two years ago. Operations, our data-as-a-service platform, grew more than 20% year over year, as we invested in data quality alongside that growth, adding over 10 million contacts and expanding coverage across six European markets. Because our customers' AI agents and workflows are only as good as the data powering them. That expanding surface area is why we built GTM Studio. An orchestration layer where revenue operations teams unify CRM data, warehouse data, and ZoomInfo intelligence in one workspace to build audiences enriched with AI agents, and activate directly into downstream systems. We've seen strong traction, particularly from companies using AI tools like Claude and ChatGPT alongside our platform. No other vendor in go-to-market controls both the data layer and the application layer with end-to-end orchestration and execution. That's our structural advantage. But orchestration without execution is incomplete. Revenue teams still operate across six or more separate tools: CRM, contact databases, conversation intelligence, research platforms, AI assistance, and spreadsheets. That fragmentation wastes the intelligence we deliver. Most sellers today have no AI-native interface. GTM Workspace is our answer. A fully AI-native command center where sellers get full GTM context with natural language AI synthesizing CRM data, signals, and conversation history. Customers can go from idea to campaign to execution to ROI measurement in one system. Over 20% of our total ACV is now on our first AI platform Copilot after it more than doubled in 2025, and as we expand Workspace to existing Copilot customers, we're seeing strong renewal uplift and opportunity to consolidate tool budgets. This is an enterprise-grade workspace that deploys in weeks, not months. And we've made ZoomInfo available where go-to-market work happens. Beyond our own application, we integrated our data directly into Cloud through MCP server technology, allowing our customers to use AI agents for audience building, meeting prep, and email drafting all powered by our data. We deepened integrations with Salesforce, HubSpot, and Microsoft Dynamics. Whether customers access our intelligence through our application, through an AI agent, or through something they built themselves, the data flows to where work happens. Positioning ZoomInfo as the only platform that delivers intelligence, orchestration, and execution for modern go-to-market teams. As you consider the product innovation that has taken place in 2025, I would also emphasize that we deliberately took our time to get it right, and we worked closely with customers to refine these products. We have not and will not optimize for any single quarter's results, but rather for the multi-decade opportunity we see in front of us. We are now ready to go on the offense with these new products commercially available in 2026, and those efforts are underway now with extraordinarily encouraging early signals. Including with monday.com's enterprise demand generation team, who used GTM Studio to unify data across internal and external sources. Helping them build sophisticated audiences with enriched signals and activating them directly in their marketing campaigns. Reducing campaign build time, and enabling them to launch more targeted initiatives each quarter. They have described GTM Studio as a game changer. During the quarter, we closed upmarket opportunities with Hilton Hotels, Edward Jones, a leading financial services firm with more than 20,000 financial advisers, Kaseya, a fast-growing IT management and cybersecurity software provider for MSPs, and Ronstadt, a global provider of staffing, recruitment, and workforce solutions. We won a competitive RFP to transform a Fortune 500 company's contact data management across their $20 billion business after we analyzed 25 million contacts and demonstrated best-in-class contact management, including identifying new buying committee members to support their pivot to service-based solutions. The consultant they hired concluded that no other competitor came even close, proving ZoomInfo is the right strategic partner for go-to-market business transformation. We migrated a $30 billion global IT company to Copilot by consolidating fragmented contracts across teams and subsidiaries into a single enterprise agreement with global data access and developer capabilities. These customer success examples and thousands more continue to illustrate why we are a critical piece of the go-to-market tech stack for some of the largest and most successful companies in the world. We are data and software used in concert. Whether you're working in Claude, using a bespoke five-coded app, or using a battle-tested, scalable, and secure piece of enterprise software, every instance whenever go-to-market is happening at scale, our data will continue to be critical to powering users and agents. No amount of AI makes that need for data go away, and only enhances the value that we create for these companies. AI multiplies the surface areas where go-to-market work happens and gives us new opportunities to monetize our go-to-market context graph and go-to-market data. Turning to capital allocation, I would first reiterate our commitment to using the majority of the cash we generate to repurchase ZoomInfo shares for as long as that is the best and highest return use of our free cash flow. Given the unprecedented negative sentiment of public markets toward anything software-related, we believe our share price is completely disconnected from economic reality. As such, today, we announced an additional $1 billion authorization for share repurchases, representing roughly 50% of our market capitalization. We have already retired nearly one quarter of our shares since the start of 2023, and we intend to opportunistically deploy this additional $1 billion while continuing to double down on execution. We have been presented with a generational opportunity to create value. While we can't control market forces, we do control our execution and our capital allocation. Our strong free cash flow generation and efficient operating model enable us to uniquely take advantage of the prevailing negativity. Equipped with our best products and our best leadership team ever, in 2026, we will rev our distribution engine and bring the go-to-market AI platform to all go-to-market professionals. We are confident in our path ahead and in our ability to sustainably deliver revenue growth and industry-leading profitability. We will continue to grow free cash flow per share while defining the future of go-to-market with solutions that help our customers win in increasingly competitive markets. With that, I'll turn the call over to Graham.
Graham O'Brien: Thanks, Henry. Q4 GAAP revenue was $319 million, up 3% year over year, and adjusted operating income was $123 million, a margin of 38%, both above the guidance ranges we provided and, again, above rule of 40 company performance. For the full year, GAAP revenue was $1.25 billion, up 3% year over year. Adjusted operating income was $446 million, a margin of 36%, and adjusted unlevered free cash flow was $455 million. All above the guidance ranges we provided at the beginning of the year and above our updated guidance as we beat and raised throughout the year. Through a combination of revenue growth, disciplined profitability management, and consistent share repurchases, we also delivered on our goal of meaningful growth in free cash flow per share. Growing adjusted levered free cash flow per share from $1.07 in 2024 to $1.20 in 2025, representing 12% growth. At current valuation levels, we are in the range of a 20% free cash flow yield. Further supporting our belief in the opportunity to unlock enormous latent value considering the operating trends of the business. Q3 was a strong upmarket growth quarter for us, and we were pleased to see the momentum continue into Q4. We grew upmarket by 6% year over year in the fourth quarter, tripling the growth rate year over year in our seasonally largest upmarket quarter. We have successfully shifted four points of business upmarket over the past year, and we exit 2025 with 74% of our business now upmarket. These upmarket customers buy more of the platform and renew at higher rates, driving better growth and profitability outcomes. We now expect to reach 80% upmarket mix exiting 2027, several years ahead of our initial timeline. ACV from the $100,000 customer cohort grew double digits and now represents more than 50% of total company ACV. And we now have the most million-dollar-plus customers in ZoomInfo history. We are also successfully diversifying our business model beyond seat-based pricing as we look to align price with the value we deliver to customers. Seat-based pricing contribution mix peaked in 2022, and we have progressively decreased that contribution every year since then. AI activities, ELAs, data, and platform access continue to contribute to increasing the mix of non-fee-based revenues, which we expect over time will lead to more durable growth. Net revenue retention was 90% in the quarter, with similar levels of contribution from upmarket and downmarket as in Q3. Turning to cash, GAAP operating cash flow was $143 million in Q4, up 30% year over year and seasonally stronger than anticipated. Unlevered free cash flow for the quarter was $135 million, 110% conversion from adjusted operating income and representing a margin of 42%. Q4 was stronger than expected due to timing of customer payments, and as a result, we would expect conversion to moderate in Q1. We have accounted for that Q4 overperformance in our 2026 unlevered free cash flow guidance. Stock-based compensation expense declined below 10% of revenue for the year, with improvements coming through a combination of revenue growth and an absolute decline in stock-based compensation expense. We believe this is an important consideration comparing the quality of our earnings relative to software benchmarks. Additionally, we continue to aggressively shift our equity compensation to performance-based plans, further aligning executive compensation with shareholder value creation. When looking at our gross share dilution, which is low in absolute terms, keep in mind that much of that dilution will only occur if we achieve rigorous growth and free cash flow objectives. We only want our team to win when shareholders do. In Q4, we repurchased 7.7 million shares of common stock at an average price of $10.26 for an aggregate $79 million. For the full year, we repurchased 40.5 million shares at an average price of $10.06, representing 12% of total shares outstanding, or an aggregate $407 million. Weighted average diluted shares outstanding for the quarter used in calculating non-GAAP diluted earnings per share was 327 million, and the non-GAAP share count exiting the year was 324 million. Over the past two years, we have returned nearly $1 billion to shareholders through repurchases. With the additional $1 billion authorization announced today, at the current stock price, we now have board authorization to repurchase more than 50% of the company's outstanding shares. As Henry indicated, we reiterate our commitment to using the majority of the cash we generate to repurchase ZoomInfo shares for as long as that is the best and highest return use of our free cash flow. And at these price levels, and with a healthier upmarket customer base and a promising suite of new innovative AI products that we're just now bringing to market, our conviction is as high as ever. We ended the quarter with $180 million in cash, cash equivalents, and investments, and we carried $1.3 billion in gross debt. As a result, our net leverage ratio is 2.4 times trailing twelve months adjusted EBITDA, consistent with the year-ago period. And 2.4 times trailing twelve months cash EBITDA, which is defined as consolidated EBITDA in our credit agreements, as compared to 2.2x in the year-ago period. The interest rate swap contract used to manage our exposure to interest rate movements related to our first lien term loan matured on January 30, 2026. Interest expense for the first lien term loan bears a variable interest rate based on SOFR, and as a result, we expect the interest expense on our outstanding debt to increase. We have also continued to restructure and rightsize our real estate footprint. And during the year, we recorded impairment charges as we reduced the carrying value associated with our Vancouver, Washington, and Renanah, Israel offices. We expect restructuring cash flows in 2026 related to funding tenant improvements for the excess space that we have sublet. With respect to liabilities and future performance obligations, unearned revenue at the end of the quarter was $478 million. Remaining performance obligations, or RPO, were $1.25 billion, of which $887 million are expected to be recognized in the next twelve months. Calculated billings were flat for the year, while current calculated bookings were up mid-single digits for the year. There is inherent volatility in both of those metrics, and I would continue to caution you from extrapolating too much from the trajectory of either. When considering balance sheet reserve entries, billing terms and policies, early renewal volume, and the impact of lower write-off on reserve rates, billings and current bookings growth rates more closely mirror each other in the positive low single-digit range, which is a better proxy for our current growth rate. In summary, we delivered strong Q4 results, carrying the momentum we had coming out of Q3 through to the end of the year. And we enter 2026 excited about the incremental tailwinds ahead. Transitioning to guidance, for Q1, we expect GAAP revenue in the range of $306 million to $309 million, adjusted operating income in the range of $105 to $108 million, and non-GAAP net income in the range of 25 to 27 cents per share. For the full year 2026, we expect GAAP revenue in the range of $1.247 to $1.267 billion, representing positive 1% annual growth for the year at the midpoint of guidance, and adjusted operating income in the range of $456 million to $466 million, representing a 37% margin at the midpoint of guidance. We expect non-GAAP net income in the range of $1.10 to $1.20 per share based on 325 million weighted average diluted shares outstanding, and we expect unlevered free cash flow in the range of $435 to $465 million. From a modeling perspective, items that I would call out as you think about 2026, we are more confident in the foundation of the business, and our guidance reflects that. Q1 2026 has two fewer days than Q4 2025, which should be considered when comparing sequential trends. And similar to 2025, I expect our AOI margin to decline sequentially in Q1 from Q4 and steadily build throughout the year as Q1 margins are impacted by payroll taxes and other benefit resets. Also, I would expect a non-GAAP tax rate of 12% in 2026, cash interest expense in the range of $60 million to $65 million, and CapEx as a percentage of revenue closer to 5%. In closing, we remain committed to properly managing expectations, delivering revenue growth, margin expansion, and aggressive share repurchases in 2026, which support our expectation of continued free cash flow per share growth. Now I will turn it over to the operator to open the call for questions.
Operator: Thank you. As a reminder, to ask a question, please press star 11 on your telephone. To withdraw your question, please press star 11 again. In the interest of time, we ask that you please limit yourself to one question. Please stand by while we compile the Q&A roster. Our first question comes from Mark Murphy with JPMorgan. Your line is open.
Mark Murphy: Thank you very much. Henry, how are you assessing the health of the broader software industry currently? Just given all the concerns out there about AI disruption and because it is still a pretty material end market for you, do you see any signals that would either confirm or deny the concept that the fundamentals might be shifting around for some of those larger, preexisting software players that have been around a long time? Then I have a quick follow-up.
Henry Schuck: Yeah. I mean, I think that, obviously, this is peak negativity in software businesses. But I think that our customers, when we're talking to them, their perspective about growth hasn't changed. They are still focused on growth, and they want to grow in an efficient way. And they're looking for new and innovative strategies to drive top-line growth in their go-to-market organizations. But that hasn't changed at all.
Mark Murphy: And then thank you for that. Can you comment on whether any of the major top 10, top 20 kinds of AI-native startups are customers of ZoomInfo? I mean, if you think about the larger ones, OpenAI, Anthropic, Cursor, Perplex, Mistral, and then you kind of fan out from there. Is ZoomInfo participating in the growth of that AI segment of the economy? And if so, is there any way to dimensionalize that?
Henry Schuck: Yeah. Many of the top 50 AI-native, fastest-growing companies are customers of ZoomInfo. Thank you.
Operator: Thank you. Our next question comes from Elizabeth Porter with Morgan Stanley. Your line is open.
Lucas: Hey, Henry and Graham. This is Lucas on for Elizabeth Porter. Thank you for taking my question. I was hoping you could touch on the path for margins as we get through FY 2026. And the business shifting upmarket where you mentioned margins are a few thousand basis points higher. So and then on the back of that, how can we think about the additional investments needed to penetrate your predominantly upmarket TAM in the future? Thanks.
Graham O'Brien: Yeah. I can cover that. We were pleased to deliver margin improvement in 2025 relative to 2024. Our initial guidance assumes almost another point of margin improvement as we shift the business more and more upmarket. Upmarket business is now 74% of our total ACV. That's up four points in 2025. That's up, I think, about nine points over the last couple of years. As a reminder, that upmarket business, we estimate to have several thousand basis points higher margins than the downmarket business. So we'll continue to especially benefit from the better sales efficiency of that upmarket. When you think about the margin guide holistically, we're baking in a point or two of gross margin pressure there as we roll out some of the newer products of GTM Studio and GTM Workspace where there will be an AI action credit component that we believe all could drive revenue upside. It will also lead to potentially a little pressure on gross margins. So we're really confident in the kind of margin benefit we get from the upmarket business specifically in the sales and marketing line, more than offsetting that gross margin pressure in 2026.
Henry Schuck: And while we're going to continue to invest in our new products and our new innovative solutions, we're going to do that while continuing to expand margin. Thanks, guys.
Operator: Our next question comes from Brad Zelnick with Deutsche Bank. Your line is open.
Brad Zelnick: Great. Thank you so much. So Graham and Henry, a lot of really healthy signals in Q4, both quantitatively and qualitatively new products. Henry, your comments about going on the offensive. You know, great brands, Hilton, Edward Jones, Kaseya. How do we reconcile that all with guidance for decelerating growth? What are your core assumptions for next year, specifically around downmarket? And anything else that frames the way that you're guiding us? Thanks.
Graham O'Brien: Yeah. Brad. Our guidance philosophy continues to be setting targets that we can meet and exceed. In 2025, we outperformed our initial model. We beat by more than that initial model assumed. So while my approach to full year is similar to what it was last year at this time, I think it's fair to assume that our quarterly beats could be smaller. We're a more stable business due to our upmarket mix. I have better visibility into the trajectory of that business, and I'm more comfortable in guiding because of that business. Our guidance conservatively assumes that upmarket growth stays where it is or decelerates and the downmarket gets worse. I'll also note that we've included no revenue contribution from go-to-market studio or the other new products we're bringing to market in 2026 in the revenue guidance. While embedding an assumption on the associated cost of those products in our AOI cash flow and adjusted earnings per share guides.
Brad Zelnick: Very helpful. Thank you.
Operator: Thank you. Our next question comes from Alex Zukin with Wolfe Research. Your line is open.
Alex Zukin: Hey, Thanks for taking the question. Maybe just the first one for me. Henry, you talked about how you're seeing customers connect their AI solutions to the ZoomInfo platform. And I guess I'm just curious, how are you monetizing that connectivity, the broader engagement presumably that you're seeing as those things get kind of orchestrated and plugged in? And how much do you expect kind of that type of engagement or growth to be a tailwind over the next twelve months? And even maybe comment on kind of some how how you're hearing the other horizontal op vendors approach this dynamic?
Henry Schuck: Yeah. I mean, I think first, if we were just a software vendor, we wouldn't have this opportunity in front of us. I think when I was on a call last week with a large financial services firm, and they're building their own internal app where their financial team can go get answers and insights on any questions about businesses that they're prospecting into or wanting to learn from. And the first thing they asked us was, can we use your MCP server to plug into that? And they can. And so we're currently in the process of implementing our MCP server for them. That's a surface area we would never see before. We would enrich in CRM, or they would use our product in a traditional SaaS application. But now the surface area for where they want our data is expanding. And our technologies are plugging into those surface areas. Our guidance today looking forward through '26 doesn't take into consideration any tailwind from those new products or the expanding surface area where we see our data plugging into. That's a consumption-based model, very similar to our DaaS and operations business. Where when our customers consume that data, they're charged a consumption fee.
Alex Zukin: Understood. And then, Graham, maybe following up on Brad's question about conservatism. If we look at the guide for the next year, if I look at CRPO coverage, it actually looks I think, identical to this time last year. And you obviously were able to kind of come in above and beyond where you guided originally. Would you call your guidance methodology kind of similar levels of conservatism vis a vis this time last year more conservative, kind of gauge it for us as to how we should expect the progression through the year.
Graham O'Brien: Yeah. You know, the CPRO coverage gives me a good amount of comfort in the guide. There is a little bit of noise in the CPR when you think about early renewal volume and the kind of the quarter-to-quarter trends there. You know, I wouldn't say it's more conservative, and I would but I would also couple that with know, this is our initial guide for 2026, and the way we do this structurally is we'd expect this to be the most conservative guide from a full-year perspective that we do this year.
Alex Zukin: Perfect. Thank you.
Operator: Thank you. Our next question comes from Ryan McWilliams with Wells Fargo. Your line is now open.
Cyrus: Hey, this is Cyrus calling for Ryan. Just two questions quickly. How were SEO trends in the fourth quarter? And how are you guys thinking about the contributions from seat growth and usage revenue as components of the fiscal '26 guide? Thank you.
Graham O'Brien: What was the first part of your question? Our SEO trend in the fourth quarter.
Cyrus: Yeah. Why don't I cover the second part first? On the seat-based versus consumption pricing models. I think, you know, what we, I think, called out in the script this quarter for the first time is that we are you know, we've been successful in diversifying our pricing models over the last few years. We were effectively at the highest contribution from seats back in 2022. We're meaningfully lower than that peak now. And with you know, these kind of next evolution of products that we're rolling out, I would I'm very confident in saying that that mix will continue to go down where we're more and more of our revenue will be coming from consumption, and closer to value-based pricing for our customers.
Henry Schuck: I would add that with these new products, they with the early cohort of customers who are using our GTM Studio products, who have plugged in our API and our MCP technology into their own applications for enrichment and cleansing of the data, the feedback has been incredibly positive. And we are increasingly confident that that's going to be a positive tailwind for us in 2026. On SEO and AIO, what I'd tell you is first, the negative impact has stepped down modestly. But we haven't seen a return to prior levels. We had a period of time where we were reacting and then now and then finding ways to optimize against what was changing in the search landscape. But we feel really good about our strategy there. And I've already started executing against the strategy to improve the top of the funnel demand that was impacted by the changes on AI and SEO. And we're really optimistic and confident about the playbook that we're running there.
Cyrus: Perfect. Thank you.
Operator: Our next question comes from Taylor McGinnis with UBS. Your line is open.
Taylor McGinnis: Yeah. Hi. Thanks so much for taking my questions. Maybe, first one, I think you mentioned that underlying, you know, bookings growth. So if you take out some of the noise, is in the low single-digit range. So could you just comment like what the catalyst path is for that growth rate going forward and when we could start to see underlying bookings growth start to improve. And I would imagine, to some degree, that's being weighed down by what you're seeing downmarket. So can you comment on the trends that you're seeing downmarket and how you're thinking about that going into 2026?
Graham O'Brien: Sure. So upmarket growth is at 6% on 74% mix. Downmarket growth is negative 10% for the second quarter in a row on 26% weight. If you weight those, you get about a 2% ACV growth in aggregate figure. In 2026 and moving forward, we will get the benefits of mix. Right? So as that market goes from 74 potentially to 75, 76, we talked about getting to 80% by 2027. The more weight that we have from a growing business should translate into overall accelerating or better growth from that one to 2% range. In the downmarket business, you know, that's where we primarily feel the impact of the AIO challenges there. And as we get further into 2026, when we feel really confident about addressing those and getting a lot of that traffic back, we start to lap pretty negative comparisons that essentially should be a tailwind as we get into the middle of 2026. So I think that we'll have more achievable comparisons downmarket that should help to turn around what is a smaller and, you know, getting to become a healthier business, and that should become less dilutive to overall growth as we progress through 2026.
Taylor McGinnis: Perfect. And then, Henry, maybe just one Oh, yeah. Go ahead.
Henry Schuck: No. Go ahead, Taylor. I'll answer after.
Taylor McGinnis: Yeah. I was just gonna ask. So, Henry, when you think about 20% copilot penetration and a lot of the good demand that you're seeing around the data side of the business. Just curious if there's any initiatives in 2026 to unlock the growth potential in those areas further.
Henry Schuck: Yeah. I think first, one thing that I would add to Graham's commentary there is that there's more and more business from Copilot now in the customer base and in our ACV number, and we continue to see higher net retention rates from those customers who came on to Copilot versus our legacy non-AI solution. So we think that'll continue to be a tailwind for us. You know, we are aggressively moving our customer base onto Copilot and GTM Workspace and getting them access to our new AI tools. Those we believe will continue to be positive tailwinds to our business as well.
Taylor McGinnis: Perfect. Thank you guys so much.
Operator: Thank you. Our next question comes from Raimo Lenschow with Barclays. Your line is open.
Raimo Lenschow: Hey. Thank you. Henry, if you think about, like, at the moment, there's as you said, maximum uncertainty in the space. If you, like from your perspective, like, in terms of the way out, do you think it's gonna be more confident on the copilot and that you kind of actually lot more than you know, just a data provider, or do you think that it's more customers and realize the value of the data that you're providing and the uniqueness of the data? Thank you.
Henry Schuck: Yeah. I think, you know, a couple of things. One, we think we all feel much better about the stability of the customer base sitting here today than we felt a year ago. We think it's more durable. It's much more upmarket than it was a year ago. And so we start, you know, from a better place with better products and better data. Now when we think about, you know, the future growth of the business, you know, one, people, a lot of our customers still want a workspace for their sellers to operate out of, and they don't have native AI workspaces within their own businesses. And so we're gonna be able to continue to be a provider of the application layer above our data and insights asset. But a core part of that asset today which is very different than it was, you know, a year or two years ago, is our ability to bring first-party data together with third-party data to build that context service and that context graph that they then can work on top of. If I'm just building an account plan or a deck or preparing for a meeting, on just my CRM data, or just, with the data that's in an LLM, I miss a bunch of context about conversations I've had with that customer, about whether they visited my website, about executive changes, and we're able to bring all that first and third-party data together to build that context graph that then our customers build on top of. And so as I think through the future, you'll wanna that that's a meaningful change. And so when you think about our data being provided to our customers, it's not just our third-party data. It's the unification of that first and third-party data that then drives what they build on top of that. And so as we go forward, I do anticipate that more and more of our customers are gonna leverage our data and insights within applications that they build or within applications that they've already bought, and our technology will make it easier and easier for them to do that.
Raimo Lenschow: Okay. Perfect. Thank you. Very clear. Thank you.
Operator: Thank you. Our next question comes from Davis with Canaccord Genuity. Your line is open.
Davis: Hey, guys. Thank you for taking the question. Graham, can you talk about realized pricing at renewals during Q4, maybe compared to the last few years? And then Henry, kind of along the same lines, anything you're thinking about from a pricing and or package perspective as we work through 2026 and you roll out these new products? Thank you.
Graham O'Brien: The first cohort Yeah. The renewal outcomes were really positive in Q4 relative to the last few quarters. I think, you know, our customer base is becoming stickier. We're building products that are the customer retention customer retention. And, you know, I specifically have a call out to a pallet call out to a pallet. We talked about this in Talked about this Q3. Customers that were sold customers that were sold on new business came up from renewal and came up with and and came up Those customers performed significantly better significantly better than our legacy And that continuing to support. We're talking about we're talking about mid-single-digit renewal better renewal outcomes relative to our legacy products.
Henry Schuck: And then DJ, on your question here, like, our first goal is to delight our customers and give them better products than we've ever had, than we've ever given them before. That's been a consistent focus of ours over the last number of years. And so what we actually believe is that they are going to use our data, use our insights, in vastly more ways. And so from a pricing and a packaging perspective, we think that we'll participate or we're gonna participate as they consume more and more of our data, more and more of our insights in more and more places.
Davis: Daniel, why don't we go to the next question in the queue, please?
Operator: Thank you. Our next question comes from Koji Ikeda with Bank of America. Your line is open.
Koji Ikeda: Yes. Hey, guys. Thanks so much for taking the question. I wanted to ask about net revenue retention at 90%. Flat with the third quarter. I realize this is somewhat of a backward-looking metric, but I was also a bit surprised it didn't expand this quarter given heavy enterprise renewals and the upmarket growing percent? And so maybe walk us through this NRR metric a little bit and how this expands from here. Thank you.
Graham O'Brien: Yeah. When I think about the NRR metric, and split it out upmarket versus downmarket, our upmarket net retention in period is still at 100%. So, you know, we're really focused on the path to getting that to 105%, but that held in really well. And downmarket is still a little bit above where it was in the first half of the year. You know, I'll note that the PUBCO, the net revenue retention, 90%. Did get better. It just it didn't round in the quarter. So I still think we're confident in the path to continuing improving that retention metric.
Operator: Thank you. Our next question comes from Parker Lane with Stifel. Your line is open.
Parker Lane: Hey, guys. Good afternoon. Graham, one for you. If you look at the uptick in 100,000 plus customers quarter over quarter, very nice. Wondering if you could give us a sense of what percentage of customers landed there in the quarter versus expanded there and what that trend looks like relative to last year's 4Q and some of the recent quarters you've seen?
Graham O'Brien: Yeah. You know, we're still have a really strong and actually improving upmarket motion, which upmarket new business motion, I should say, where we are able to land more and more of these customers, at that 100k or higher price point. It's still small relative to the activity in the customer base. So the you know, our ability to upsell a customer that's spending below 100k to above 100k still gonna be, you know, on a volume basis contributing the most. Other the flip side of that is we're having, you know, a lot more success with customers not downselling out of that 100k cohort, which was, you know, more prevalent in 2023 and 2024. So once customers start spending the 100k, we have a lot they're a lot stickier at that price level. You know, we were really pleased to see the significant logo ad there. But we're even more confident in the kind of, the future ACV growth within that quarter. Think we still have an opportunity to continue to grow the logos and add logos into that cohort. We're just short of our all-time high. Of logos in that cohort. But the real success and I think a lot of the growth in the future gonna be come from taking a customer that's spending 150k and working with them to, you know, get them on a package that is 300k or 500k. In other words, the ACV growth from those customers already spending 100k will contributing the lion's share of ACV growth in that cohort in the future.
Parker Lane: Got it. Thanks, Grant.
Operator: Thank you. Our next question comes from Tyler Radke with Citi. Your line is open.
Tyler Radke: Yes. Thanks very much for taking the question. Wanted to just get your sense on how you expect this consumption pricing model to evolve? Like, what are your aspirations for where this could be the percentage of the business? And how do you think about this in terms of an accelerant to the overall growth profile?
Henry Schuck: Yeah, man. I think you see the beginnings of that with our operations business, is growing over 20% year over year, but it's happening in a much less programmatic way than what than the products that we're releasing today will provide for. And so a customer in our operations business may plug in our APIs for enrichment in a CRM, or they may take a data file that they integrate with Snowflake and that's a much more, you know, manual business motion for us. Than our new products, which plug in seamlessly into, Quad or OpenAI and allow them to take advantage in a much easier way of our data and our insights. And so we think consumption trends should follow, very much what you see in operation.
Tyler Radke: Great. And then follow-up for Graham. Nice to see the upsized buyback here. How are you thinking about just deploying that just considering I think you have about $150 million of cash? Are you expecting to raise additional debt? Or is this sort of just prioritizing the cash flow that comes in towards buybacks?
Graham O'Brien: Yeah. No. I think we'll probably go into the back half of this quarter with anywhere from $170 million to $200 million of cash on hand. To deploy. I still wanna keep $125 or so million on hand at any given quarter end. We also, you know, continue to generate a lot of free cash flow. It's a really impressive free cash flow profile that we have. So I think our guidance implies $400 million or so of free cash flow available for allocation. And then, you know, if depending on where the share price is, we always have the opportunity to explore other options to go be opportunistic in this market.
Tyler Radke: Thank you.
Operator: Thank you. Our next question comes from Brian Peterson with Raymond James. Your line is open.
Jonathan Carey: Hi, guys. Thank you. This is Jonathan Carey on for Brian. So I wanted to get at the AI debate in maybe a little bit of a different way. So Henry, on the budget process, would you say enterprise customers have changed their thinking such that there's actually a segment, like an AI or innovation budget that ZoomInfo is tapping into that's been segmented out? And if that is the case, then what's your sense for how that incremental budget has been carved out?
Henry Schuck: Yeah. I mean, I think there's definitely incremental budget for AI initiatives inside of companies, particularly in the enterprise. And, you know, historically, we wouldn't be involved in that budget or in those conversations. And today, we see our pathway into those conversations with our MCP and API technologies. And all of the AI initiatives that are happening at these businesses need high-quality data to work on top of. Particularly when you see, like, a lower quality data when managed by humans. Can be managed in a one-to-one or one-off basis. When lower quality data gets into the hands of agents and starts getting worked out at scale, that becomes a bigger and bigger and bigger problem that you can't unwind yourself from. And so there is an appetite one, for more data, but specifically for more high-quality data to drive those internal AI initiatives. And so that was a budget line item that we historically didn't have access to. And today, we are finding our way into.
Jonathan Carey: Very clear. Thank you.
Operator: Thank you. Our next question comes from Surinder Thind with Jefferies. Your line is open.
Surinder Thind: Thank you. Henry, can you maybe talk about just the current copilot penetration? And I think you had set a three-year target when it was launched to kind of substantially have all of your customers on the new product. Can you talk about actually where we are in that cycle and what that really means for where ACV is today and where it will ultimately get to?
Graham O'Brien: Yeah. I can cover, then Henry can add on if he's got anything else. You know, we're at 20% penetration of the overall customer base. Let's say that we are on schedule, but a little bit ahead of schedule relative to the migration plan that we rolled out back in 2024. So we'll continue to migrate that core customer base to a Copilot experience over the next two years or so. And, you know, we'll continue to be successful in getting uplift as we do that. A lot of our customers are on longer-term contracts. We have opportunities to move them off cycle, but a lot of them do, you know, end up waiting until they come up on a renewal event. And I'll, you know, I'll point back to the migration is going well. Really pleased to see, though, that the renewal outcomes after actually being on Copilot for a year are better than, you know, what we saw from legacy SalesOS. So that's where the real upside starts to kick in as we move more and more customers both from a new business and an existing business perspective onto a Copilot experience.
Surinder Thind: So I apologize. Just to clarify for my benefit, the ACV is 20% Right now, Copilot is 20% of ACV. But is that also reflective of the base penetration, or is that different from the adopted at this point relative to where how many clients have yet to adopt?
Graham O'Brien: Right. So I guess what I would say is that is 20% of the total ACV of the full company. Not all of that ACV is targeted for migrations. Things like, you know, operations or ZoomInfo marketing solution. Of the base that was on SalesOS 20% is, you know, significantly higher. It's closer to 30% plus, that have been migrated.
Surinder Thind: Thank you.
Operator: Thank you. And our final question comes from Rishi Jaluria with RBC. Your line is open.
Rishi Jaluria: Oh, wonderful. Thanks so much for taking my question. I'll keep it at one. But I want to understand, so from a pricing and business model perspective, great to see, kind of the stats on increased mix towards consumption and data, right, to kind of insulate from the seat-based pressures that may or may not occur out there. I mean, I know that's a crystal ball. But I want to maybe understand, you know, at the same time that we're having these conversations and aligning pricing with value, you know, customers love predictability. Right? It's not just on us on Wall Street that, it. So how are you working with your customers to navigate that so there's we don't end in a position down the line, even if it's a few years from now, where customers are, you know, maybe facing sticker shock or paying a lot more than they thought? Maybe just help us understand how you're thinking about that. Thank you.
Henry Schuck: Yeah. We've built in a lot of transparency into how consumption pricing works across our different consumption-based models. And so customers have visibility into how they're consuming effectively credits and dollars, as they deploy our solutions. They have controllability of that spend. And then, you know, our intention is to work really closely with our customers as they roll these things out so that we can be ahead of any surprises from a consumption and cost perspective with them.
Rishi Jaluria: Alright. Helpful. Thank you so much.
Operator: Thank you. And we do actually have an additional question from Clark Wright with DA Davidson. Your line is now open.
Clark Wright: Hi. Thank you. Henry, this is for you. How do you inflate the data quality advantage you've historically had and the associated pricing power stemming from that asset, especially as we think about AI scraping tools and the continued innovation in that space?
Henry Schuck: I think the biggest thing that we're seeing there is I mentioned it a minute before, but the quality of data is becoming an increasingly important metric that customers are looking at as they deploy AI agents on top of their data foundations. And so, you know, maybe historically, I would have been okay with 70% accurate data. But today, when I have AI agents operating at scale on top of that data, that creates more and more problems that I can't manage at scale. And so the value of quality data is increasing in our perspective and in our customers' minds. And so we're gonna you know, we have a different seat at the table than we've had historically when it comes to quality.
Clark Wright: Got it. Thank you.
Operator: Thank you. This concludes today's conference call. Thanks for participating, you may now disconnect.